Operator: Good morning, everyone, and welcome to the WesBanco First Quarter 2025 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please also note, today's event is being recorded. I would now like to turn the conference call over to John Iannone, Senior Vice President, Investor Relations. Please go ahead.
John Iannone: Thank you. Good morning, and welcome to WesBanco, Inc.'s first quarter 2025 earnings conference call. Leading the call today are Jeff Jackson, President and Chief Executive Officer; and Dan Weiss, Senior Executive Vice President and Chief Financial Officer. Today's call, an archive of which will be available on our website for one year, contains forward-looking information. Cautionary statements about this information and reconciliations of non-GAAP measures are included in our earnings-related materials issued yesterday afternoon, as well as our other SEC filings and investor materials. These materials are available on the investor relations section of our website, westbanco.com. All statements speak only as of April 30th, 2025, and WesBanco undertakes no obligation to update them. I would now like to turn the call over to Jeff. Jeff?
Jeffrey Jackson: Thanks, John, and good morning. On today's call, we will review our acquisition of Premier Financial and our strong first quarter results, as well as provide an update on our outlook for 2025. Key takeaways from the call today are successful completion of our acquisition of Premier; improved net interest margin, which is expected to continue to improve through 2025; strong organic loan growth that was fully funded by organic deposit growth. Our first quarter results demonstrate continued solid operational performance, as we again delivered strong organic loan and deposit growth while driving positive operating leverage. We also continued to strengthen our balance sheet and net interest margin by funding loan growth with deposits and reducing higher-cost borrowings. For the quarter ending March 31st, 2025, we reported net income, excluding merger and restructuring expenses, and the day one provision on acquired loans of $51.2 million and diluted earnings per share of $0.66, which increased 18% year-over-year, despite significantly higher shares outstanding from the PFC acquisition. On a similar basis, our first quarter returns on average assets and tangible equity improved year-over-year to approximately 1% and 12%, respectively. Reflecting our focus on organic growth and positive operating leverage combined with the benefits of the Premier acquisition, our net interest margin increased to 3.35% and our efficiency ratio improved to 58.62%. This quarter's key story was the successful acquisition of Premier Financial, elevating us into the ranks of the top 100 largest U.S. banks by asset size. This strategic merger expands and strengthens our market position and accelerates our long-term growth strategy. We are pleased to welcome Premier's talented team, loyal customers, and strong community partners to WesBanco. We've retained nearly 90% of the Premier employees, and the response to our merger has been overwhelmingly positive, both in our communities and our teams. I have already seen great examples of collaboration sparking new growth opportunities, and I look forward to sharing the results with you in months ahead. As we move forward together, our teams are focused on executing seamless integration and delivering on the full potential of the combined organization for all stakeholders. The strength of our strategies and teams are reflected in our performance with organic total and commercial loan growth and organic deposit growth continuing to significantly outperform the monthly H.8 data for all domestically chartered commercial banks on both a year-over-year and quarter-over-quarter basis. For the first quarter, total deposits organically increased $922 million year-over-year and $285 million quarter-over-quarter to more than $14.4 billion. Importantly, this growth was driven by deposit categories other than Certificate of Deposits, as organic deposit growth, excluding CDs, was 5% year-over-year and nearly 11% quarter-over-quarter annualized. Further, deposit growth again fully funded our total organic loan growth. While there could be fluctuations quarter-to-quarter, our plan is still to fund full-year loan growth with deposits. First quarter organic loan growth was 8% year-over-year and 4% quarter-over-quarter annualized, driven by the strong performance of our banking teams across our markets. Total commercial loans organically increased 10% year-over-year and almost 7% sequentially on an annualized basis driven by commercial real estate. Our commercial loan pipeline as of March 31st was approximately $1.3 billion with more than 25% attributable to Premier. Reflecting our strong organic growth engine, WesBanco's standalone pipeline at March 31st improved approximately 18% from year-end. In the three weeks since quarter-end, the commercial pipeline has grown approximately $100 million to $1.4 billion. Based on the current loan pipeline, we continue to expect mid-single-digit loan growth during 2025. This continued growth is made possible by the strength of our markets and lending teams who are working across business lines to meet customers' needs and drive growth. One example highlights a collaborative effort across commercial products, treasury management, and private banking to deliver a tailored solution and secure a significant win with an Ohio customer. Consistent with our mission, the team tailored a loan structure to meet the customers' unique needs, closing a $50 million loan and securing $45 million in deposits and a $1 million fee income item, as well as significant near-term treasury management and private banking opportunities. Turning briefly to the macroeconomic environment, the equity markets are extremely volatile right now, reflecting the threat of trade wars due to constant fluctuations in tariff pronouncements. While these pronouncements are likely negotiating tactics, the eventual outcome of trade negotiations remain unclear, and it is too early to accurately gauge potential impacts, if any. However, the benefit of our loan portfolio is its variety and granularity spread across our economically diverse nine-state footprint, which provides soundness and stability if an industry or region is struggling. Roughly 17% of our total portfolio is in our mid-Atlantic region, with roughly a third of that residential-related, and it spans our footprint across the state of Maryland. In fact, the percentage of this that falls within the DCMSA is less than 0.7%, with roughly half of that residential. Further, we do not have a government contractor line of business, and our total office investment portfolio is less than 4% of our total loan portfolio, and has solid loan-to-value and DSC ratios. We're staying close to our customers and continually monitoring our portfolios to proactively manage risk and help our customers navigate evolving market dynamics. I would now like to turn the call over to Dan Weiss, our CFO, for details on our first quarter financial results and our current outlook for 2025. Dan?
Daniel Weiss: Thanks, Jeff, and good morning. For the quarter ending March 31st, 2025, we reported gap net income available to common shareholders of negative $11.5 million, or $0.15 per share. When excluding the day one provision for credit losses and merger-related expenses from the Premier acquisition, net income was $51.2 million, or $0.66 per share, representing an increase of 54% from $33.2 million, or $0.56 per share in the prior year period. To highlight a few of the first quarter's accomplishments, we successfully closed our acquisition of Premier Financial, generated strong year-over-year pre-tax, pre-provision earnings growth of 25%, grew both loans and deposits organically, improved the net interest margin, and reduced the efficiency ratio. We also restructured the Premier balance sheet through a securities restructuring, unwound the macro hedges, paid down higher-cost broker deposits, remain on pace to exit $140 million of commercial loans during the second quarter, and remain on track to exit the mortgage servicing business in the coming months. So, we're excited about the opportunities that lie ahead and pleased with the success of our strategies playing out according to our plan. Our balance sheet as of March 31st reflects the benefits of both the Premier acquired balance sheet and organic growth. Total assets increased 54% year-over-year to $27.4 billion, which included total portfolio loans of $18.7 billion, total securities of $4.3 billion, and the addition of approximately $480 million in goodwill generated from the acquisition. Total portfolio loans increased 57.3%, reflecting $5.9 billion from Premier and $921 million from organic growth, which as Jeff mentioned was driven by strong performance by our banking teams across our markets. We remain optimistic about future loan growth with our strong pipeline banking teams and markets combined with more than $1 billion in unfunded land construction and development commitments expected to fund over the next 18 months. During March, we sold approximately $775 million of Premier securities and purchased $475 million of higher coupon fixed rate securities and used the excess proceeds to pay down higher cost borrowings, which provided immediate benefit to the first quarter net interest margin. Deposits of $21.3 billion increased 58% versus the prior year due to Premier deposits of $6.9 billion and organic growth of $922 million. Our organic deposit growth fully funded loan growth on both a year-over-year and sequential order basis. Further, when excluding CDs, we realized organic deposit growth of 4.8% year-over-year and 10.6% quarter-over-quarter annualized. Credit quality continues to remain stable as key metrics have remained low from a historical perspective and within a consistent range in the last five years. The first quarter provision for credit losses was $69 million, with $59 million related to the day one non-PCD provision. The allowance for credit losses was $234 million at March 31st, which increased the coverage ratio to 1.25% from 1.10% as of December 31st, 2024. The first quarter margin of 3.35% improved 32 basis points compared to the fourth quarter and 43 basis points on a year-over-year basis through a combination of higher loan and securities yields, lower funding costs, and purchase accounting accretion. Interest rate mark accretion from the Premier acquisition, in addition to the securities restructuring, benefited the first quarter net interest margin by approximately 25 basis points. Deposit funding costs of 255 basis points for the first quarter decreased as compared to 271 basis points in the fourth quarter of 2024 and 256 basis points in the prior year period. When including non-interest-bearing deposits, deposit funding costs for the first quarter were 188 basis points. In conjunction with the closing of our acquisition of Premier, interest accretion added approximately $8.4 million to net interest income in the first quarter, mostly from loan accretion of $6.2 million as well as $1.9 million from CDs. The PCD book totaled $220 million with an interest mark of 4.3% and credit mark of roughly $30 million. $6 billion in Premier loans were identified as non-PCD with an interest mark of $270 million, representing approximately 4.5% and a credit mark of roughly $60 million representing a 1% credit mark, both of which will be accreted to income over the life of the portfolio. The interest mark on CDs was $11 million with the majority to accrete over the next 9 to 12 months and interest marks on other borrowings were relatively small. For the first quarter, non-interest income totaled $34.7 million, a 13% increase from the prior year period due primarily to the Premier acquisition. Net swap fee and valuation income was down due to fair market value adjustments from recent rate volatility. However, gross swap fees increased $1.2 million year over year to $2 million. Non-interest expense, excluding restructuring and merger related costs for the three months ended March 31, 2025, was $114 million, an increase of 17.2% year over year due to the addition of Premier's expense base and higher amortization of intangible assets. Equipment and software expense of $13.1 million includes the additional cost of operating two core systems until conversion to one platform in mid-May. Amortization of intangible assets of $4.2 million increased $2.1 million year over year due to the core deposit intangible asset that was created from the Premier acquisition. Excluding the impacts from the addition of Premier, our legacy cost base was roughly flat to the fourth quarter. Turning to capital, our regulatory ratios remain above the applicable well-capitalized standards. In conjunction with the February 28 closing of the Premier Financial acquisition, we converted all of Premier's outstanding common shares into 28.7 million WesBanco shares, which increased total capital by $1 billion and, as anticipated, modestly impacted our capital ratios. It's also worth noting here that under the regulatory definition for the calculation of the leverage ratio, period in capital is divided by average assets, which included just one month of Premier's balance sheet. Therefore, the reported ratio of 11.11% is expected to come down into the high 8% range on a full quarter basis. Turning to our current outlook for the remainder of 2025, which includes the benefits from our acquisition of Premier. We are currently modeling two 25 basis point fit rate cuts in June and September. However, given our relatively neutral rate-sensitive position, we do not expect a meaningful impact for net interest margin from these cuts. We anticipate approximately two-thirds of our $3 billion CD book to mature or reprice lower over the next six months with an average interest rate of 3.9% as compared to our current seven-month CD rate of 3.5%. We anticipate Premier-related accretion during the second quarter to add approximately 15 to 20 basis points to the first quarter margin and, therefore, expect to break through a 3.50% margin during the second quarter. Nearly all fee income categories will be positively impacted by the Premier acquisition. As a reminder, first quarter trust fees include tax preparation fees totaling roughly $700,000. Excluding these fees, trust fees as well as securities brokerage revenue for the remainder of the year should be modestly higher in future quarters, reflecting modest organic growth and the benefit of our new markets and newly acquired assets under management. Electronic banking fees and service charges on deposit, which are subject to overall consumer spending behaviors, should increase from the first quarter, reflecting the addition of Premier's markets, despite the Durbin Amendment impact expected to be $1 million per quarter from Premier's historical run rate. Mortgage banking income should improve modestly, reflecting the opportunities in our new markets, but will continue to be impacted by the overall residential housing market and economic trends and interest rates. And finally, gross commercial swap fee income, excluding market adjustments, should be in a similar range to the first quarter. As we stated in the past, we remain focused on delivering disciplined expense management to drive positive operating leverage and will continue our efforts throughout 2025. During the second quarter, we will be operating two core systems and have a higher staffing level as planned to facilitate our core system conversion in mid-May, which will drive a slightly higher expense base before the remaining cost saves are realized and fully reflected in the third quarter run rate. With Premier's core deposit intangible of $151.5 million, representing 3.28% of core deposits, amortization of intangible assets is expected to be roughly $9 million per quarter, up from the $4 million reported in the first quarter, as we realize the full quarter impact of the amortization of the intangible assets created from the Premier acquisition. We believe the temporary cost of preparing for the core system conversion during the second quarter will be similar to our anticipated mid-year merit increase, and, therefore, most of the 26% cost savings should be reflected in the third quarter, and we expect the expense run rate will be in the $140 million range for the remaining quarters of 2025, which reflects legacy WesBanco's $100 million cost base, the addition of Premier's cost base after cost savings, mid-year merit increases, and a higher intangible amortization. The provision for credit losses will depend upon changes to the macroeconomic forecast and qualitative factors, as well as various credit quality metrics, including potential charge offs, criticized and classified loan balances, delinquencies, changes in prepayment speeds, and future loan growth. Lastly, our anticipated full-year effective tax rate is expected to be between 19% and 19.5% subject to changes in tax regulations and taxable income levels. This increase from last quarter is due to non-deductible costs related to the Premier acquisition. We further expect the bulk of the remaining merger-related expenses, totaling approximately $45 million, to be recognized in the second quarter as contract terminations, severance, and retention bonuses mostly occur then. Operator, we're now ready to take questions. Would you please review the instructions?
Operator: Ladies and gentlemen, at this time, we'll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Andrew Liesch from Piper Sandler. Please go ahead with your question.
Andrew Liesch: Thanks. Good morning, guys. On the margin looking forward here, I appreciate the commentary with the addition and the accretion from Premier, but on an organic basis, how do you think it can perform at absent rate cuts? It looked like loan deals on new production was up a little bit, and maybe there's some opportunity to reduce funding costs with the CDs. How should we be looking at the margin more on an organic basis?
Daniel Weiss: Hey, Andrew, I'll take that one. Similar to what we discussed last quarter on a kind of organic legacy basis, we anticipate roughly 4 basis points to 6 basis points of margin improvement per quarter. With Premier in the full representing about a third of the overall balance sheet, I might call that maybe it's 3 basis points to 5 basis points or 2 basis points to 4 basis points of legacy improvement. All for the reasons that we kind of discussed last quarter as well. Obviously, as we talked, CDs repricing downward. Certainly, we are anticipating right now a Fed cut in June. That would have an impact both on the federal home loan bank borrowings, most of which are one-month advances, currently right around 4.5%. Those would reprice down immediately, as would our variable rate commercial loans and security. So a couple things that we did do, and we talked about the securities restructuring a little bit, but one of the things that we would anticipate that's outside, even outside of the restructuring, as we've said in the past, have been evaluating our floating rate securities book. This is WesBanco's floating rate securities book representing about 16% of the overall securities. In the quarter, in February, we did sell about $100 million. These are floating rate securities at about a $40,000 gain. The yield on those was about 4.94%. We reinvested that $100 million and got a book yield of about 5.5% and only picked up about four-tenths of a year in duration. So that also should be kind of part of that, I would say, tailwind towards margin expansion on an organic basis.
Andrew Liesch: Got it. All right. That's helpful. Thanks. And then that $140 million expense number, it sounds like the cost saves from the deal are on track or maybe even a little bit ahead of schedule. But just some clarity, is that $140 million for the third quarter and the fourth quarter, or is there still going to be some legacy cost before they're all realized to the $140 million number is a better number for the fourth quarter?
Daniel Weiss: Yeah. No, I would say right now we're modeling in that low $140 million range for each of the next three quarters. And again, obviously second quarter is really due to the combined cores. All of the cost saves haven't been taken out, won't expect to be taken out really until June 30th fully. We do have a little bit of spillover into the third quarter, our trust conversion, our security brokerage conversion, and some of our MSR assets are likely to be still serviced for a short period of time in the third quarter. So there might be a little bit of additional kind of duplication of costs there. But for the most part, we expect to see that 26% fully baked in in the fourth quarter for sure and mostly baked in in the third quarter. And as you know, there were some cost saves on the salaries and wages front here in effective February 28th with some folks leaving on kind of legal day one.
Andrew Liesch: Right. Great. Thank you for that clarity. I'll step back.
Operator: Our next question comes from Catherine Mealor from KBW. Please go ahead with your question.
Catherine Mealor: Thanks. Good morning.
Jeffrey Jackson: Hey, good morning. Good morning.
Catherine Mealor: I want to dig a little bit into the margin, just a couple of lines, if you don't mind. Maybe just the first on the bond book. Do you have, I know there's a lot of moving parts. Is there any way for you to disclose where your bond yields were maybe at quarter end when we get the full impact of the bond restructure and maybe kind of where we're starting this quarter?
Daniel Weiss: Yeah. So what I would tell you specific to the restructure, as we said, sold $775 million. And if we think about those securities were yielding about 3% on Premier's book. The markup was up to 4.86% on those sold. We reinvested, as we said, $475 million at a yield of about 5.43%. So we picked up 57 basis points on that reinvestment, focused on mortgage backs and CMOs to improve legibility certainly, and as you know, AFS. But I would tell you that if we look at kind of spot security yields at the end of March, it's right around 307. So hopefully Catherine, that kind of helps to explain where we're at.
Catherine Mealor: Then on the deposit side, I know Premier had a higher deposit base than you did, and we only have a partial quarter. So is it fair to assume that deposit costs actually increase next quarter once we get the full impact? Or are we still stable in deposit costs relative to the quarter we've seen at that 188 basis points level?
Daniel Weiss: No, I think that we do see some continued reduction in deposit costs for certainly on the CD front, as we've talked about in the past. At this point, we have implemented our pricing of deposits that's been fully implemented at Premier. And so we're going to be patient, certainly with the deposits there. But we do think that we're going to see some improvement in overall funding costs here maybe in the 10-basis point range coming off of first quarter.
Catherine Mealor: Then on FHL, I know you've got $1.4 billion coming off in FHLB. Do you expect to shrink the balance sheet by that amount or just reinvest it into lower yielding FHLB?
Daniel Weiss: Yeah, I would say it's going to be the -- at this point, the shrinkage of the balance sheet is really dependent upon a couple things. First we're obviously monitoring the securities book. We did shrink that somewhat. It represents about 16% right now of total assets. That's I would say, the lower end of the range for where we want to be to maintain what we feel are appropriate levels of liquidity to maintain pledging for our public funds and such. So I don't see us necessarily shrinking that. I would tell you, though, we are holding a little more cash than what we have historically. Historically, we try to target around 2.5% of total assets to 3%. At the period end, we're holding about 4%. So we could see $100 million or so potentially reduction in FHLB there. But generally speaking, the expectation is we would continue to fund our loan growth with deposit growth. And FHLB borrowings would generally fill in any gaps there. But we would maintain the securities book to be about 16% to 17% of the overall balance sheet cash or around 3%.
Catherine Mealor: And if I could just round up the margin questions going back up to loans. In your comment, you said that you expect fair value accretion to be 15 basis points to 20 basis points over the first quarter. So that's not 15 basis points to 20 basis points of fair value accretion. That's increased from the first quarter?
Daniel Weiss: That's exactly right, Catherine. That's a build of 15 basis points to 20 basis points on the 3.35% that we reported here in the first quarter.
Catherine Mealor: All that together, you're saying you're going to go through the 3.5% margin. How conservative do you feel with that number? Because I feel like…
Daniel Weiss: I'm giving you the bottom end and not the top end.
Catherine Mealor: When I put all that together, it's a bigger number. So you're very conservative with that 3.5%?
Daniel Weiss: Yeah, I think so. Okay.
Catherine Mealor: All right. Great. Awesome. Thank you for letting me ask all the questions. I appreciate it.
Operator: Our next question comes from Daniel Tamayo from Raymond James. Please go ahead with your question.
Daniel Tamayo: Thank you. Good morning, guys.
Daniel Weiss: Hey, good morning, Daniel.
Daniel Tamayo: So we've hit the margin a lot. Appreciate all that guidance there. We've talked a little bit about the balance sheet, but maybe we could dig in just a little bit more to try and put a finer point on where net interest income might end up this year. So I'll ask you directly if you have any comments on what you think net interest income numbers could look like for the rest of the year. If not, or in addition, if you could size for us how you're thinking about just absolute balances on the asset side going forward, given all the moving parts you've talked about with FHLB and the securities restructurings and loan growth obviously baked in. So just curious in your mind or budget how you think the size of the assets and or net interest income could move the rest of the year?
Daniel Weiss: Yeah, I would say we certainly anticipate still that mid-to-upper single-digit loan growth and that to be fully funded with deposits. And I've already talked about the other levers on the balance sheet and what the percentages would be. So I think that helps guide what we would be expecting for the balance sheet by the end of the year. As it relates to net interest income, we typically wouldn't give a whole lot of deep guidance here. But what I can tell you, and I think this should help clear up at least some parts of this, is the accretion that we are anticipating as a result of the Premier deal. I can give that, and these are rough estimates at this point. We're still finalizing our purchase accounting. But we talked about the overall interest mark on the non-PCD book is roughly $270 million. That's a 4.5% mark. Credit mark, which also would be accreted through interest income, is right around $60 million. So that's 1% roughly. And overall, including the PCD book as well, we still have about a 4.5% interest mark and about a 1.6% credit mark. And of course, some of that on the PCD side, it would not be accretable. But if we think about the accretion, the breakdown here that we are showing today, and this could fluctuate again based on prepayment speed in the future, et cetera, is right around $59 million here. This is for loans in 2025; around $60 million in 2026; $50 million in 2027. Again, this is going to be very much subject to additional review and very much dependent on interest rates in the future as that would influence prepayment speed. So we do have some prepayment speed assumptions baked into this. But that's what we see today based on everything that we know.
Daniel Tamayo: Okay. That's very helpful, Dan. Appreciate it. Maybe switching gears here. We haven't talked about credit in the question section, at least yet. And everything looked pretty good. I guess there was somewhat of an increase in the criticized loans in the quarter. I'm assuming that's from the acquisition. Maybe you could give a little color around the increase there? And if you have any thoughts on go forward, a charge off expectations and/or provision, however you want to guide us in terms of how we should think about that.
Jeffrey Jackson: Yeah, I can start. No, I think most of that CNC is just normal course of business related to the pre-acquisition as well as just how we're seeing things today. I think if you look at the provision, it was up. A lot of that was due to, obviously, the acquisition. We also did have one credit that we took a larger provision on, but feel very good about that, working through that the rest of the year. So I would say overall, we still feel very good about our credit metrics. We still feel like we're going to be better than our peer group, better than the industry. And at this point, we're not really seeing any sort of outsized risk in any sort of market. As I mentioned in my earlier comments, we have very, very, very limited exposure to the DC market specifically. And so feel good about that, as well as obviously having a nine-state footprint. We have a very diverse portfolio. So I would say I think where we're at, obviously, we'll fluctuate quarter to quarter, but we feel very good with the range we're in today.
Daniel Tamayo: Okay. In terms of recent net charge-off activity, that's what you're referring to?
Jeffrey Jackson: Yes.
Daniel Tamayo: Got it. Okay. All right. Thanks for taking my questions, guys.
Operator: Our next question comes from Russell Gunther from Stephens. Please go ahead with your question. Hey, good morning, guys.
Russell Gunther: Good morning, guys. Wanted to follow up on the expenses. First, to just confirm that the 4Q run rate provided is fully inclusive of all deal-related cost saves, and then to inquire about how we should think about a normalized growth rate from there.
Daniel Weiss: Yeah, Russell. I would say that the 4Q run rate would be inclusive of all cost saves, certainly, like we said, in the low $140 million range. And I would anticipate you know, probably a 4%, call it 4% build off of there as we look towards ‘26 and beyond.
Russell Gunther: Okay, great. Thanks, Dan. And then just my second question would be on capital. So with CEP1 around 10% how are you guys thinking about managing this ratio going forward? And what does that suggest for capital deployment beyond loan growth, specifically any appetite for buybacks or M&A?
Daniel Weiss: Yeah, I would say today we're in capital build mode for the next several quarters. And in terms of capital deployment and how we might deploy that through M&A or buyback, I'll maybe defer to Jeff.
Jeffrey Jackson: Yeah, as Dan said, we're still building back to capital. Obviously we need to digest this transaction. We're going to have conversion coming up in a few weeks. We expect that to go really, really well. And then if we were ever to…. look to announce another deal, it'd probably be way into this year, early first quarter, second quarter. At this point, we're really focused on getting Premier squared away, making sure everything's running very smoothly, and then taking it from there. But we're in no hurry to do another deal. Or I would say at this point, we're just trying to build back capital. Hopefully, that answers your question.
Russell Gunther: Yes, guys. Thank you both for taking my question.
Operator: Our next question comes from Manuel Navas from DA Davidson. Please go ahead with your question.
Manuel Navas: Hey, could I just clarify the NIM a little bit? So, PAA gets you to that 3.50% to 3.55% range next year, and then you have just organic legacy NIM improvement, and there were two ranges. Is it 3 basis points to 5 basis points on top, or is it 4 basis points to 6 basis points on top, potentially?
Daniel Weiss: Yeah, Manuel, I would say 3 basis points to 5 basis points. So, the 4 basis points to 6 basis points was what we disclosed last quarter for WesBanco's legacy. So, if we think about obviously, the purchase accounting accretion and marketing Premier's balance sheet, which represents roughly a third of our asset and interest income I would just say you have to count, it's basically two-thirds of the 4 basis points to 6 basis points, which is, I would say, more 3 basis points to 5 basis points would be added.
Manuel Navas: Okay, I appreciate that. And can you add a little bit more color on any balance sheet items that still need to be done? I know you're going, there's a couple of loan sales that should come through next quarter. Anything else that's still to come? Is there any more securities restructurings that you're going to do? Is that all done with that spot rate you gave? Like, is there anything left to come on the balance sheet this coming quarter?
Daniel Weiss: I think securities is pretty well done. Certainly, we've got the loan sale about $140 million. This could be sold. We have roughly that marked down to about $100 million. Certainly, the MSR business is something else that is expected to close out over the next several months. Probably, we'll wrap that completely up here early in the third quarter. But no, I think that really covers the majority of the balance sheet restructuring. I mean, we certainly do have later in the year, our preferred stock does become callable. And so, we'll be evaluating that along with some of the sub debt that we acquired from Premier. We're essentially refinancing that to take advantage of some savings there. But nothing significant outside of that.
Manuel Navas: Shifting direction a little bit. Can you talk about the puts and takes in the loan growth outlook? The pipeline is strong. What are your expectations for pull through? Have there been any shifts or delays in your customer base with pull throughs? Has there been any uptick in payoff activity since the end of the first quarter? And some discussion on the different regions, like which ones are doing well, which ones could do better, and just a little bit more on the puts and takes behind your loan growth.
Jeffrey Jackson: Sure. So, as I mentioned our pipelines continue to grow. They're combined, I believe it's about $1.4 billion. And that's pretty solid pipeline. So, there's obviously other stuff beyond that. I would say as far as pull through, we're still seeing customers do a lot of business. We have seen a few things pull back due to tariffs. Just waiting to see. But overall, I feel very good about the loan growth, that mid-single digit to potentially upper single digit loan growth. If you look at the markets that are doing really well from a pipeline perspective, I do know our LPOs continue to be, I believe, 20% to 25% of the pipeline of legacy WesBanco with Chattanooga and Nashville and Indianapolis showing really strong growth there. The whole state of Ohio, obviously, with the addition of Premier, we are getting a lot more opportunities to pull through there. And then we are seeing good pipelines over in the Mid-Atlantic region also. So, overall, I would say it looks very similar to last year. With the addition to Premier, we should see more, I would say, more C&I pipeline because that franchise and that mark, those markets tend to lean more C&I, which is good for us. And we are seeing more opportunities there that we're able to capitalize on. So, once again, overall, we feel very good about mid to upper single digits as far as loan growth. I have not seen any slowdown as far as pull through. Once again, a few customers, a few things due to tariffs, but overall, I think it's still unknown the impacts there.
Manuel Navas: I appreciate that. And the deposit growth has been excellent. And are the pipelines similar on that side of the house? And how much of that is coming from the commercial teams themselves? And I'll step back into the queue.
Jeffrey Jackson: Yes, we had a very good first quarter in deposits. I would expect this year to look very similar to last year as it relates to deposits. So, as you remember, we grew deposits in first quarter last year. We grew them this year. That looked really, really good. In the second quarter, you do have tax time. So, you do see typically a little bit of a dip, and then it builds back toward the end of the second quarter. But I would say the deposit pipelines still look very good as well. And a lot of it is commercial. We do have some really good opportunities ahead of us. Also, on the treasury management side, too. I do believe we have a lot of new purchase card and TM products in place, too, that we hope to build over the next several quarters, our revenue there as well.
Manuel Navas: Thank you. Thank you for your comments.
Operator: Thank you. Our next question comes from Karl Shepard from RBC Capital Markets. Please go ahead with your question.
Karl Shepard: Hey, good morning, guys.
Jeffrey Jackson: Hey, good morning, Karl.
Karl Shepard: I got a few ones for you on capital. I think the message you're trying to send is you have ample capital for all the organic growth you want to do. We're just waiting to build back to more normalized level. Is that fair?
Jeffrey Jackson: Yeah.
Karl Shepard: Okay. And in the deal announcement, we talked a little bit about CRE concentration. Do you just have a quick update there and an ability to put CRE loans on?
Daniel Weiss: Yeah. So we calculate our CRE concentration ratio as a percentage of total risk-based capital at the bank level. And at the bank level, we are calculating right around 298%, which is obviously under the guidelines. I know many like to focus on total risk-based capital at the home co, which is obviously significantly lower than that 298%. But yeah, we're going to continue to monitor those levels and it'll be dependent upon CRE growth here quarter to quarter as it ebbs and flows. But wouldn't be concerned if we eclipsed that 300% threshold and are bouncing right around that for some period of time. As we continue obviously to build back capital though, which is coming back at a pretty nice clip through the organic margin as well as the accretion, we do think that that is going to continue to work its way back downward. But typically the seasonal CRE growth occurs in second and third quarter. So we'll see where we land there.
Karl Shepard: Okay. The balance sheet is, call it 50% larger today than it was three months ago. Does that change any way you think about running your business or open up any strategic opportunities? Or how should we think about the way you guys are approaching that or anything that's rattling around in your head?
Jeffrey Jackson: Yeah. I think it obviously gives us a bigger balance sheet to lend to our stronger customers. We're doing that right now, especially as we look at our new Premier top customers where we've already done an analysis on potential lending opportunities where we can lend more to them than, say, legacy Premier has looked at in the past. It has also given us an opportunity to look at are there certain lines of business that maybe we wouldn't have gone into that we're doubling down on, looking at to move into moving forward. So, we're looking at all those different things. Dan, I don't know if there's anything else you would add? I think you got me.
Karl Shepard: Okay. And then one last one for me. If you go back to the merger deck last summer, I think you had a pro forma of $3.59 of EPS for this year with fully phased in cost savings. And I don't want to pick over line by line. Dan's done a ton of help already. But that number, it feels like it should be achievable. The accretion seems dialed in with the high mortgage book and the margins tracking a little bit better pre-closed. Is there anything that you would steer us away from thinking about? And that was in that deck, other than what we've talked about already.
Daniel Weiss: Yeah, Karl. That $3.59, is that, I assume that's excluding merger related and probably excluding the day one double count on the provision for credit losses?
Karl Shepard: Yes.
Daniel Weiss: I would say given all of the guidance that we provided, that should be within range then, certainly.
Karl Shepard: Yeah. Okay. Thank you both for all the help.
Operator: And our last question today comes from David Bishop from Hovde Group. Please go ahead with your question.
David Bishop: Hey, good morning, gentlemen. Hey, Jeff, just curious, obviously with the added exposure to maybe more manufacturing C&I type markets, I'm sure you guys are aware of the impact of tariffs. Just curious if you've been able to do any sort of stress testing or deep dives in terms of the legacy Premier book in terms of tariff exposure, maybe even the legacy WesBanco book maybe where you see some, I guess, exposure there to increase tariffs across the commercial loan book?
Jeffrey Jackson: Yeah, we've taken a look at both books. Obviously, the Premier book, we've looked at multiple times pre-closed and post-closed. And so, we've gone through that. Once again tariffs, it's an unknown right now, but we have looked at different C&I exposure. And legacy WesBanco, we were not as big in C&I. And so, but we are taking a look at the current portfolio. But I would say at this point, we don't feel like we have a significant amount of exposure to the tariffs. But once again, there's a lot of unknowns. So, I wish I could answer your question better. It's just there's a lot of unknown at this point.
David Bishop: Understood. Understood. Then final question. Maybe a little bit of guidance on the fee income side of the house. I assume you guys will be layering your legacy swap products and such. Just curious, maybe, I don't know for a specific number, but maybe percentage growth or percent of average assets, how you sort of see that trending out over the course of the year? Thanks.
Daniel Weiss: Yeah, I think we certainly see opportunities, particularly even as you mentioned there on the swap fee income, for example. Certainly, the first quarter here only includes one month of fee income from Premier. So, we'd expect to see a nice bump here in the second quarter as we realize the full quarter's effect of the fee income. I would say today, and you could see the trends pretty cleanly if you compare fourth quarter to first quarter. For the most part, with the exception of net swap fee income, which obviously has some negative fair value adjustments there, with the exception of Foley [ph] and with the exception of insurance, mostly the improvement that you see fourth quarter versus third quarter is representative of about one month of Premier. So, you can get there by almost multiplying the delta for those areas by three to get your full quarter run rate for second quarter and beyond. If that's helpful, I would just also just mention that just keep in mind that trustee income does include about $700,000 in the first quarter related to the tax prep fees that would not be it only occurs once a year in the first quarter.
Operator: And, ladies and gentlemen, with that, we'll conclude today's question and answer session. I'd like to turn the floor back over to Jeff Jackson for any closing remarks.
Jeffrey Jackson: Thank you. There's a tremendous opportunity ahead as we continue to build our future as a community-focused regional financial services organization. Our transformational acquisition of Premier provides enhanced scale and capabilities while our organic growth engine continues to deliver strong loan and deposit growth. Our stronger company, which has already begun to drive improved financial metrics, positions us well to continue to deliver shareholder value. Thank you for joining us today, and we look forward to speaking with you at one of our upcoming investor events. Have a great day. Thank you.
Operator: And, ladies and gentlemen, with that, we'll conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.